Operator: Thank you for standing by, and welcome to the Upland Software First Quarter 2021 Earnings Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. The conference call will be recorded and simultaneously webcast at investor.uplandsoftware.com, and a replay will be available there for 12 months. By now, everyone should have access to the first quarter 2021 earnings release, which was distributed today at 4:00 PM Eastern Time. If you have not received the release, it's available on Upland's website. I'd now like to turn the call over to Jack McDonald, Chairman and CEO of Upland Software. Please go ahead.
Jack McDonald: Thank you and welcome to our Q1 2021 Earnings Call. I'm joined today by Rod Favaron, our President and Chief Commercial Officer and Mike Hill, our CFO, I'll summarize our results. some recent sales, product and operations highlights. Following that, Mike will provide some insights on the Q1 numbers and our guidance. Then, we'll open the call up for Q&A, but before we get started. Mike will read the Safe Harbor statement.
Mike Hill: Thank you, Jack. During today's call, we will include statements that are considered forward-looking within meanings of securities laws. These statements are subject to risks, assumptions and uncertainties that could cause our actual results to differ materially. A detailed discussion of these risks and uncertainties are contained in our Annual Report on Form 10-K, as periodically updated in our quarterly reports on Form 10-Q filed with the SEC. The forward-looking statements made today are based on our views and assumptions and on information currently available to Upland management as of today. We do not intend or undertake any duty to release publicly any updates or revisions to any forward-looking statements. On this call, Upland will refer to non-GAAP financial measures that when used in combination with GAAP results provide Upland management with additional analytical tools to understand its operations Upland has provided reconciliations of non-GAAP measures to the most comparable GAAP measures in our press release announcing our first quarter 2021 results, which is available on the Investor Relations section of our website. Please note that we're unable to reconcile any forward-looking non-GAAP financial measures to their directly comparable GAAP financial measures because the information, which is needed to complete a reconciliation is unavailable at this time without unreasonable effort. And with that, I'll turn the call back over to Jack.
Jack McDonald: Thanks, Mike. During the first quarter, we restarted our M&A engine. We completed two strategic and accretive acquisitions, Second Street and Blue Van, and we did that while posting strong free cash flow of $12.2 million and that's even after acquisition expenses and while there can be no guarantees, our goal is to make 2021 a strong year for acquisitions. Our acquisition pipeline is robust and we are active in the market for additional opportunities and as we've noted before, our acquisition program is now self-sustaining as our free cash flow and financial resources mean that we're no longer dependent on the equity capital markets, in the first quarter, we had 9% total revenue growth as expected, adjusted EBITDA came in at 31%, reflecting our go to market investments. Our Q1 free cash flow was $12.2 million. We had 3% recurring growth in the organic side, now when you exclude political-related revenue from the first quarter of 2020 the comparison period, our recurring revenue organic growth was 6%. On the sales front in the first quarter, we expanded relationships with 283 customers, 45 of which were major expansions. We also welcomed 118 new customers to Upland in the first quarter including 32 new major customers. Product side, we expanded security and collaboration capabilities across the Upland product portfolio with three major releases and five feature packs. In our Project and IT management products, we delivered product integrations with key partners salesforce and Sage Intacct and following the Upland and HP, Hewlett-Packard joint announcement in the fall, we released new capabilities in our document workflow product suite in support of HP work path and these apps will provide HP customers, the ability to capture and digitize documents from multiple sources for example, faxes, emails, scans, electronic content to extract and index key content and then document for further action directly from their HP specific devices. Again on the acquisition front as I mentioned, Q1 was an active quarter for M&A. We closed the acquisition of Blue Van, which is a leading customer data platform anchoring Upland's Customer Experience Management suite with a single view of the customer that will drive deeper engagement across email, SMS, mobile applications and online. We also closed the acquisition of second Street another nice addition to our CXM suite, second streets interactive content and context capabilities give our customers more ways to engage their consumers to drive revenue. As I mentioned the M&A pipeline is strong and again while there could be no guarantees, it's our goal to make 2021, a very strong year for acquisitions. We are active in the market for additional opportunities. So with that, I'm going to turn the call back over to Mike.
Mike Hill: Thank you, Jack. I'll cover the financial highlights for the first quarter and our outlook for the second quarter and full year 2021. On the income statement, total revenue for the first quarter was $74 million, representing growth of 9%. Recurring revenue from subscription and support grew 11% year-over-year to $70.7 million. Professional Services revenue was $3 million for the quarter, a 20% year-over-year decline, which was expected due to the COVID 19 travel impacts. Overall, gross margin was 67% during the first quarter and our product gross margin remained strong at 68% or 72% when adding back depreciation and amortization, which we refer to as cash gross margin. Operating expenses excluding acquisition related expenses, depreciation, amortization and stock compensation were $30.4 million for the first quarter or 41% of total revenue, all generally as expected. Also, acquisition-related expenses were approximately $9.6 million in the first quarter and of course these acquisition related expenses will continue as a result of our renewed acquisition activity. I will note that $1.2 million of this Q1 expenses related to an office lease exit from last year's acquisition. Acquisition-related expenses are generally 52% to 60% of acquired annual revenue run rate and varies from acquisition-to-acquisition depending on uncontrollable factors such as geographic location. Generally for each acquisition, 45% to 50% of these transaction and transformation expenses are incurred within the first 3 months and then taper down rapidly until complete by the acquisitions First Anniversary. Our first quarter 2021 adjusted EBITDA was $22.8 million or 31% of total revenue, down 7% compared to $24.6 million or 36% of total revenue for the first quarter of 2020. As expected, adjusted EBITDA was lower due to our increased go-to-market investments compared to last year on the cash flow. For the first quarter of 2021, GAAP operating cash flow was $12.5 million and free-cash flow was $12.2 million even with $9.6 million of acquisition-related expenses in Q1. We also had some positive changes in some of the working capital accounts like collections on accounts receivable. 2021 free cash flow should be over $30 million and possibly over $40 million depending upon the size and timing of future acquisition, so we are focused on generating substantial GAAP operating cash flow and free cash flow even after acquisition-related expenses. So for the balance sheet, this ongoing free cash flow generation is an addition to our existing liquidity of $246.7 million comprised of approximately 186.7 million of cash on our balance sheet as of March 31, 2021 and our $60 million undrawn revolver. This ongoing cash flow generation existing available capital and expanding our credit facility while maintaining net debt leverage of up to a maximum of around 4.0 times should allow for self-sustained growth without dependency on the equity markets. I should note that our net debt leverage is currently at around 3.5 times based on the midpoint of our 2021 adjusted EBITDA guide. With regard to income taxes, I will note that Upland currently has approximately $356 million of total tax NOL carry-forwards and of these, we estimate that approximately 215 million will be available for utilization prior to expiration. As of March 31,2021, we had outstanding net debt of approximately 345.2 million after factoring in the $186.7 million of cash in our balance sheet. I note that principal payments on our term debt are 1% per year or about $5.4 million per year. With the remaining balance maturing in August of 2026, the interest rate on our outstanding term debt is locked at 5.4% making our annual cash interest payments approximately $30 million at our current debt level. Additionally, I will point out that our term debt has no financial covenants on current borrowings. Now for guidance, for the quarter ended June 30, 2021, Upland expects reported total revenue to be between $73 and $77 million including subscription and support revenue between $70.2 and $73.2 million for growth in recurring revenue of 6% at the midpoint over the quarter ended June 30, 2020. Second quarter 2021, adjusted EBITDA is expected to be between $22 and $24 million. For an adjusted EBITDA margin of 31% at the midpoint, representing a reduction of 3% at the midpoint over the quarter ended June 30, 2020, reflecting our incremental investment and our go-to-market activities. For the full year ending December 31, 2021, Upland expects reported total revenue to be between $299 and $311 million including subscription and support revenue between $285.3 and $295.3 million. For growth in recurring revenue of 5% at the midpoint over the year-ended December 31, 2020. Full year 2021, adjusted EBITDA is expected to be between $94.4 and $100.4 million for an adjusted EBITDA margin of 32% at the midpoint, representing a reduction of 3% at the midpoint over the year ended December 31, 2020, again reflecting our incremental investments in go-to-market activities. So with that, I'll pass the call back over to Jack.
Jack McDonald: Thanks, Mike. And now we're ready to open the call up for Q&A. Please feel free to direct questions to Mike, Rod or me
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Bhavan Suri of William Blair. Please go ahead
Unidentified Analyst: Hi, everyone. This is Jake [ph] on for Bhavan, congrats on the great quarter and just first of all, I would love to share how the [ph] BlueVenn and Second Street acquisitions are progressing. I know it's early, but just would love to hear about the initial interest from current customers
Jack McDonald: Yes. Great, thanks for the question, so very excited about both [ph] BlueVenn and Second Street acquisitions, both accretive acquisitions, but also highly strategic, both of them fit into our CXM product suite and fulfill some key functions there. BlueVenn is a CDP, Customer Data Platform, and it enables us to maintain a centralized record on behalf of our customers of their consumers, so that they can create Automated Marketing Campaigns, which they can then execute across multiple digital channels right and we've got those capabilities as part of our product portfolio around SMS and text delivery by in-app and push notification, email and web, so these adds a very powerful core platform to our CXM suite. On the second Street side you know, a key challenge for our customers is to continue to build their database of consumers and so Second Street brings to the table a number of proven technologies and interactive content in contests that could be used to drive, subscriber and user databases and thus increase the effectiveness of our customers by consumer marketing or campaigns. So, two great acquisitions, the integration is proceeding as planned on both of them, one of the things that we're doing differently today with Rod's leadership is beginning to drive cross-sell campaigns for these products much sooner than we would have before, really looking at that product fit and how we bring acquired products into our existing sales distribution is now a core part of our pre-closing diligence and we would really like to hit the ground running now on that. So, let me pass it over to Rod to give his thoughts on kind of early days of pushing those products through our channel cross-sell in early observations there.
Rod Favaron: Yes. So building on that, obviously we started talking Second Street in earlier in the quarter and blue down a little bit later in the quarter. And as Jack said those two products themselves and leverage each other as Second Street being that place to really gather audience data to decorate the database that we got from BlueVenn [ph]. So it's very early an integrating both these companies by fairly crisply, we were able to get our CXM, Customer Experience Management, salespeople, cross selling those products with the Second Street and BlueVenn Sales Team, so we part of the playbook that we really worked on last year was making that much more crisp and quick process of being those in front of our customers. And so that we're excited I just sort of how quickly we were able to get that out there look, it takes time to sell the enterprise software to people and build pipeline, but that was not so pretty quickly and the sales cycles have already begun and pipeline is getting generated for both of those products into our base
Unidentified Analyst: Great, thanks for the collar. And this is a follow-up on the M&A funnel. Where are you seeing the greatest opportunity? Do you think you'll continue to invest in CXM or is it likely that you will target a different segment with the next acquisition?
Jack McDonald: So we've got a very strong pipeline right now, really across all four key product suites and frankly in some other use cases in the enterprise, because there are really six or seven use cases or buying centers that we're addressing. So, it's a pretty strong pipeline across those my guess would be the next one will be outside of CXM and you know, there is a lot that we're looking at on Contact Centre. There are some opportunities and document workflow as well as in CXM, So I think you'll see activity in all of those areas as we move through the year.
Unidentified Analyst: Right. Thanks for taking my questions
Operator: Our next question comes from Brent Thill of Jefferies. Please go ahead
Unidentified Analyst: Hi. There is [indiscernible] for Brent Thill of Jefferies. Congrats on the free cash flow number in this quarter. Maybe the first question is for both Rod and Jack. I guess it's been a little bit over year since Rod joined the team and I know you mentioned, It's still early, but I wanted to ask like if we were to frame this and like baseball terminology what innings of the cross-sell journey are we in and maybe like when could we see that cross-sell motion really taking hold in terms of driving organic revenue growth?
Rod Favaron: Yes. So, this is Rod. I'll start in Jack and collar commentary here, so I appreciate you pointing out that I've been here for a year. We have made a lot of progress over the last year and go-to-market infrastructure and the flying formation just sort of as a refresher, we've added new executive leadership in marketing, sales, customer success, had a global accounts, we hired the team of a global account managers to manage our top 175 customers vertically, so those teams are now in place and ramping on their knowledge of the customers and building pipeline and we like what we see there. The other thing we did was retooled demand Gen bottom up. So you'll see a new Upland website we launched in late January really designed to drive pipeline, frankly and then the other thing we did which we stood up late last year, but building out in Q1 is qualifying Sales Development Rep Team in SDR team. We now have a team of 15 STRs centrally located, really catching and qualifying all of our lead flow that the marketing team is focused on generating. So we've been doing a lot of foundational work to get the team in a place to continue to grow. As part of that demand gen machine if you will, a lot of the proactive campaigns were running now are very cross sell specific and the cross-sell pipeline is showing good growth, again these deals take time to convert a couple of things I'll point out. While we have made a lot of good progress and go to market, remember our net dollar retention rate did decrease about 300 basis points last year due to COVID and obviously in recurring revenue business, we have to wait until we fully lap that COVID impact in order to see and appreciate really the improvements in and go to market. So I'll just sort of add to that, this is in a multi-quarter journey in 2022 and as we say, there are no guarantees and outcomes, but we think this work is definitely preparing us to scale to the next level as a company.
Jack McDonald: Yes, I think so. The only thing I would add is, I think, Rod is really catalyzed a different kind of go-to-market culture here Upland and he's walked through the key moves, he has made on personnel and on process and now increasingly on product as well as the distribution piece. And so, we couldn't be more excited about it. We consistent with what he said from the beginning of what Mike and I have said, it is a multi-quarter journey and I think you start to see this really beginning ahead as you move in 2022 and it's Rod said there can be no guarantees on outcomes, but we've got a great suite of products here a tremendous customer base and we think the opportunity is there to really drive cross-sell and new logo acquisition as we go forward, so we're excited about where we can take it.
Unidentified Analyst: Pardon, one quick follow-up if I may on the overall demand environment. Obviously and as Rod pointed out, last year you did see some impact [indiscernible] not a whole lot from COVID, but some impact, so as, we see the economy open back up with folks coming back to work and stuff of that. Are you seeing overall spend on par and would be going into the back half of the year will that benefit you to a certain extent? Thank you
Jack McDonald: I think that's consistent with our outlook now, we'll see how the year plays out and you're right, the business proved to be incredibly resilient last year in the phase of COVID and so that the net dollar retention rate was still mid '90s even given the pandemic, which is impressive and I think you're seeing the demand environment begin to move back toward a more normal pre COVID environment. Our guide is that that takes a few more quarters to fully play out, so we're going to maintain a conservative outlook on that, but in terms of trend seems to be positive.
Unidentified Analyst: Got it, thank you.
Operator: Next question comes from Scott Berg of Needham. Please Go Ahead
Unidentified Analyst: Hi everyone, this is John [ph] for Scott. Thank you for taking my question. As far as the mobile messaging products grow and obviously during the last election cycle, what are you seeing as far as usage those products today relative to six months ago, obviously they're going to be going down a lot but not. Is there anything you can quantify are you stretching out? Thank you.
Jack McDonald: Yes, I know. Thanks for the question. So what we wanted to do, we talked about this last year with Share with Investors, a transparent view of demand with and without the political revenue that we saw last year. Obviously, we had a spike in usage that related to the presidential election cycle. So that's why we're breaking at that organic growth number and so that's coming in that organic growth number ex-politics, mid-single-digit 6% this quarter, but, right where we would have expected a and then there are a lot of applications for messaging beyond politics and obviously we're focused on growing that business and feel great about CXM as a long-term offering for Upland.
Unidentified Analyst: Great, thank you guys.
Operator: Next question comes from Jeff Van Rhee of Craig-Hallum. Please go ahead.
Jeff Ron Rhee: Great, thanks for taking my question. Several from me. I think I guess as also run Jack. If I look at the bookings. I know we don't give a bookings report on the quarter, but quantitative, qualitatively hundred bookings come initially for the quarter, maybe a little more collar on just describing them in line with expectations, particular surprises in strength and maybe challenges as well and then also, pipeline make up, I know you have referred to some early indicators of the cross-sell, but just any other collar around the breadth and depth of pipeline to be helpful.
Jack McDonald: Yes. Yes. So, thanks, Jeff, bookings in-line consistent with our expectations for this year, which I mentioned a moment ago, which is that the recovery will play out through the course of the year. It's not a sort of snap back on phenomenon, right? So, but in-line with how we had those numbers, but you did and so we feel good about that. In terms of pipeline growth, I want to kick that one to right because there's been a lot of great work that's been done in building, lead Gen engine at Upland that we really didn't have before and again all in context, this is a multi-quarter journey, but there is some exciting stuff going on. So let me Rod speak directly to that.
Rod Favaron: Yes. So happy to on one of the collar point on bookings we did, see a little more new versus expansion in the mix as we, which I think we'll see, we expect to see that as we kind of come out of COVID here. We talked last year about a little bit more expansion in the mix bookings and we saw a little bit movement on that we're kind of -- got into the mix to Jack's point, the STR team is kind of our new pipeline engine, we obviously generate pipeline multiple ways. Our customer success folks mine expansion pipeline our sales people find their own pipeline we have partners we work with like HP, we talked about a minute ago, we drive pipeline with the kind of that sort of inbound pipeline that we run through our SDRs as they had a frankly I'm strong first quarter [indiscernible] hit their seats in January 4th with the new quota for pipeline creation and our expectations were modest given that the team is new and they got to those with a little bit of upside with the other thing we're the other dynamic of the pipeline we saw a couple of anecdotes and we're watching for this right as we come out of COVID we expect more shorter sales cycles, but there is some pent-up demand out there. It's not released yet. We don't know when that will happen, but we saw if few, what we call create inflows anecdotally during the quarter where the deal qualified and in January and closed in March, which you don't usually see. We certainly didn't see during COVID and we said we only saw the anecdotal in Q1; so don't draw a line to that, but -- it's just early indicators. I think that both we put in place is going to start working and again our sales cycles are. We're not a week's month so it's sometimes quarters. So it's going to take a lot to get on the other side of this and see bookings and I did mentioned before we track cross as a percent of our pipeline and that's growing. So, we know what we're doing there is starting to work
Jeff Ron Rhee: Yes, helpful. And. And maybe one I guess maybe a 2-part question, actually. But if I look at, I think the earliest efforts that you made Rod coming in were primarily around renewals you thought that was some of the bearing fruit. I know you put leadership and process in there any quantification of the impact of those early changes and then last one for me the churn, I know you gave the overall number on an annual basis, but maybe some qualitative commentary on just kind of how that's ebbing and flowing right now.
Jack McDonald: So I think the customer success leadership and processes we put in place really sort of segment of the team on major accounts minor accounts we have other names internally for them, but our biggest customers in the next biggest customers you could probably guess and how we segment them so that network is definitely bearing fruit. I think we have, we have more energy on our bigger customers, both with the global account guys and with our customer success team. So that was really the, really the biggest shift in just making sure the product roadmaps are aligned and we're sort of treating the bigger customers with more energy. Right. So I think from a process perspective that's working sorry.
Rod Favaron: Jack, I think you had a follow-up just on the churn question again, I think from our perspective, it's sort of consistent with what we're seeing on bookings in line and consistent with our expectation. The recovery out of COVID is one that plays out through the course of the year. Not a 1/4 phenomenon. But they, you're going to see that sort of net AR improvement as we move through the course of the year.
Jack McDonald: It sounds good, great. And great to see the cash flow. So, thanks for taking my questions. Appreciate it guys. Thank you.
Operator: Next question comes from David Hynes of Canaccord. Please go ahead
David Hynes: Hey, guys. I'll start with one for Rod. And then a follow-up for Jack. So, right, as you build out the sales muscle how are you thinking about retaining acquired sales talent versus maybe going outside of the organization and bringing in reps with broader solution selling experience. Right. How do you strike the right balance there?
Jack McDonald: Yes, great question. So look, when we acquire product live integrate example that seems been selling that product for years. They know that specific competitive landscape. Ironically, as they know our products because we had already integrated with BlueVenn for example with our industrial products, which they were reselling and at some point. And so that's the team where we want to keep the best, right and so we focus on keeping the best talent on the go-to-market side of these acquisitions. It's not unlike look I've many years ago I ran a company that IBM acquired and they left us alone for a year to sell out to be the experts on what we do, but we got integrated. We do the same thing we let these guys bring their expertise, we integrate them into our bigger sales organization and really the leverage comes in if I've got a small BlueVenn Team or a small Second Street Team. I can give them access to a much bigger Upland team and that Upland team is introducing them into accounts in those as of the product specialists that's how we think about it and we want to keep as many of these, of the best sellers as we possibly can. So we work to do, that if they have sellers --who aren't as productive or maybe they're newer right it's not as big a loss if they don't stick around post-acquisition, but we try and keep the best ones and again, we'd like to focus on what they know how to do really well and we open up doors for them and then their job is to cross train our team, so a year from now or 18 months from now, we have lots of people who can sell that product.
David Hynes: Yes, makes sense. And then, Jack is in response to one of the first questions around M&A, you referenced opportunities in Document Workflow just curious along those lines, if there is any update on what you're seeing with your HP relationship?.
Jack McDonald: Well, you know, mentioned this in the opening remarks and we highlighted it in the earnings release as well, but very exciting relationship that has been developing really a long-standing relationship with HP, but a new initiative around HP work path, which is so consistent with the vision that we've had or document workflow to create bids integrated, hybrid deploying the cloud, deploy on-prime is needed capability that can ingest and mine and distribute content across multiple channels. So we are very excited. I'm going to let Rod chime in on this because he's been directly involved in building up the relationship and so let me Rod give you his views on that
Rod Favaron: Yes. So obviously, we're excited about this. Really the standing up the cloud part of the story with HP path is a big strategic initiative for HP as they've said publicly, obviously Jack [ph], I'm trying to bring more solutions to their customer base. We did announce that relationship, the cloud part of the relationship back in the fall. We've now their sales organization is trained. It's in their bag and they're often running so, and we're meeting regularly starting to train and build pipeline, so we're excited about this particular relationship that we work with to be for a long time. We haven't worked with them relative to work path --in our cloud solutions from a document perspective, so new set of products for us. And you said a go to market with them, and it's a strategic as I think they believe this is where we're paying close attention to our investing in both product and go to market and we're excited about what's possible.
David Hynes: Very good. Thank you, guys.
Operator: [Operator Instructions] The next question comes from Alex Hyler of Raymond James. Please go ahead.
Alex Hyler: Great, thank you. One for Rod, following up on some of the discussion on the cross-sell early pipeline strength, I wanted to ask about some of the changes you've made on the product side in terms of packaging and bundling and targeting some of the verticals in particular, anything you can share with how that's the resonating within the top 200 or so major accounts and are those packages fairly set at this point are they constantly require since we? Thanks.
Rod Favaron: Yes. So, great question. Yes, I mean, look, we've got a couple of different ways that we do cross-sell and obviously, the most successful is product adjacencies. You own one of our Customer Experience Manager products and we're talking to a common buyer, who would be interested in another one, so that we offer standalone cross-sell opportunities and then we will do things like bundle or SMS in our email our bundle our email in our CDP. We went the market was second Street just recently bundling it with both our CDP and our email products because you can imagine, a big part of the email mission is to build your database and audience development tools are perfect for that and so that's really what we try and do is focus on where we can package things together where it's a common buyer as Jack mentioned earlier, we've really simplified the buyers are going to market too. You can literally navigate to our website now and there is a sort of a buyer past where you can see all the products that are relevant for you and in some cases, see a bundle for example. So, yes, that's how we think about it. With these bundles are going to persist, they're not generally not temporal, we think they're available for when customers are ready to make the mood so we don't sort of go with them. We really create them and we think we'll support them for a long time.
Alex Hyler: Okay, great. Thank you, Jack. On the move and acquisition. I think when we spoke after first closed on, he suggested it might have been your most strategic today and now hearing Rod talk about how it is already integrated with the [indiscernible] on the product side as well on the go-to-market side, and then the early synergies of the Second Street that comments make a lot of sense. I'm curious, when you look at the pipeline of opportunities. Now how many other ones fit that kind of similar strategic mold or was this really on a unique opportunity?
Jack McDonald: It's a great question. The strategic bar for our acquisitions has been going up through time, right. This is a process that really started a couple of 3 years ago. And so what we're trying to do is build cohesive suites that serve key buying centers, because that is what's going to create velocity for cross-sell, so build those compelling products we serving core buying centers in the enterprise and then build that sales distribution channel, so as I look at the opportunities we've got across other suites. I see acquisitions of great strategic value and these are acquisitions that fit within our size and valuation criteria. And so it's going to be accretive deals as well as deals that build out the pipeline and I think that the predicate for cross-sell as we get the sales distribution up and going. Very helpful collar, thank you
Operator: Next question comes from Terry Tillman of Truist. Please go ahead.
Terry Tillman: Hey, everyone. This is Connor on for Terry. Thanks for taking my question. I just had a question around the contact center products, it seems like there's a lot of CX efforts being focused in this area, I just kind of wanted to hear what you guys are seeing in this market? Thank you.
Jack McDonald: I'm sorry I lost some of that with the static. Can you repeat that?
Terry Tillman: Yes, absolutely. So I just wanted to ask a quick question around the contact center product. So it seems like we're seeing a lot of CX efforts focused in this area. I just kind of wanted to know when you're thinking what you're going to seeing in this market?
Jack McDonald: Yes, let Rod offer his thoughts on that. Yes. So that's a really good point. We actually have now for example, one of our acquisitions from a few years back, a company called RAN Rave, which is a voice of customer value proposition.
Rod Favaron: It actually sits in our CXM suite, but we sell it to contact centers, right? So you just sort of highlighted where the overlap happens between the buying group, what in our Customer Experience products either are bought by marketers are there bought by people who are touching customers and contact centers and so we see the contact center space or what others might call the Service Cloud area is really a rich area for us. We only have a few solutions there now. Obviously, we've got a really strong Knowledge Management position. We've got some call center telephony that really connects the phone voice with CRM up a business we bought called Genius, which really connect Salesforce.com service cloud to Telephony. I mentioned around, which is really more ironically voice of customers also input into Louvain. So, if you're actually surveying your customers it's structured data that we tuck into the CDP and a pen to you as a consumer, so these things all sort of fit together. But I think Contact Centre. When we look at M&A opportunities and the pipeline, we want to see things in the pipeline in that area because --we think that's a growing market in general and we certainly have interest in growing our solution suite out.
Terry Tillman: Very helpful, thank you.
Operator: Our next question comes from Richard Baldry of ROTH Capital. Please go ahead.
Richard Baldry: Thanks. Can you talk just from a high level about how the M&A pipeline is sort of reacted or altered given COVID conditions sort at the willingness to sell has changed on the side of the vendor the price sensitivity maybe there is some desire to site for normalized operations before you sell it and then I guess tied to that is, does it skew the ability to really evaluate the quality of a target if there retention also had a challenging 2020, right, as you'd expect, how do you view those through a lens that trying to of course compensate for the year, that they've had. Thanks.
Jack McDonald: Thanks, Richard. The COVID impacts on pipeline, I said the first one is that there were folks that wanted to transact last year and could not and so those deals are coming to market now and so you've got a little bit of two years of supply if you will coming to market in one year or so I think that's goodness from a buyer's perspective, I think there are some trends in the market around digital transformation that as we know that accelerated by COVID and so I think you've got folks that are looking to team up and see the benefits of becoming part of the larger organization that can bring access to customers that can bring adjacent product sets that can bring sales distribution of the table. I think our fundamental message to sellers around speed and certainty to close that we've been a dependable buyer that over the course of our career across a couple of platforms, sign maybe 51,52 letters of intent and closed north of 45 acquisitions. So we take the process seriously and that we represent a great home for customers and for product and for a subset of high performing employees. So, I think all of those going to fundamental factors remain in place. In terms of the kind of final part of your question, it's actually a great lens to look at how these products did through COVID. So obviously you look at, you're going to put a little bit more emphasis into a trailing to trailing 3-year trend, but it's nice to see how net ARR for these prospective acquisitions held up under COVID and so it's kind of a great tax rate, kind of leads out some of the weaker players, I think leads to better overall quality of pipeline.
Richard Baldry: Alright, thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jack McDonald for any closing remarks.
Jack McDonald: Well, great, thank you very much for your time this afternoon and we look forward to seeing you on the next earnings call.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect.